Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the WisdomTree First Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded.
 I would now like to introduce Mr. Jason Weyeneth, Director of Investor Relations. Sir, please begin. 
Jason Weyeneth: Thank you. Good morning. Before we begin, I would like to reference our legal disclaimer available in today's presentation. This presentation may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. A number of factors could cause actual results to differ materially from the results discussed in forward-looking statements, including, but not limited to, the risks set forth in this presentation and in the Risk Factors section of WisdomTree's annual report on Form 10-K for the year ended December 31, 2018. WisdomTree assumes no duty and does not undertake to update any forward-looking statements.
 Now it's my pleasure to turn the call over to WisdomTree's CFO, Amit Muni. 
Amit Muni: Thank you, Jason, and good morning, everyone. I'll walk through the important items for the quarter, give some updated guidance for 2019 and then turn the call over to Jono for some closing remarks before opening it up for Q&A.
 So beginning on Slide 3. Assets under management rebounded, ending the quarter at just under $59 billion, driven by market appreciation and inflows across all 3 regions where we have listed products. Excluding HEDJ and DXJ, we generated $1.8 billion of inflows, which represent 16% annualized organic growth, more than 2x the ETF industry and our second strongest quarter in 6 years. Flows were led by the strength of our floating rate treasury funds, USFR, which generated inflows of $1.3 billion and strengthened its position as the asset and liquidity leader in a category that we believe can meaningfully scale further.
 Our domestic equity product suite generated 19% organic growth, representing $632 million of inflows, the strongest quarter in over 2 years. With strong performance track records, this suite of funds is very well positioned to continue to gain market share and drive demand from investors looking for alpha-generating strategies in the ETF structure.
 For the second consecutive quarter, we grew our market share of European-listed gold products. The $287 million of inflows into our physical gold ETFs represented 33% market share, illustrating the importance of being first to market and establishing ticker awareness, particularly for beta exposures.
 Our Canada franchise continued to generate consistent inflows and strong organic growth as well. And while our emerging market suite enjoyed the industry rebound in EM products, inflows into our broad-based EM funds were more than offset by outflows from our India ETF. These diversified flows are the results of the evolution of our distribution strategy to leverage data intelligence and digital marketing to optimize client coverage, entering into strategic partnerships and offering an award-winning Advisor Solutions program.
 Now turning to the financial results on Slide 4. Revenues were just under $66 million for the quarter, primarily due to lower average revenue capture due to the change in mix of our U.S. AUM and 2 less revenue days in the quarter. On a GAAP basis, we had net income of $9 million. Excluding nonoperating charges, adjusted net income was $8 million or $0.05 a share on a GAAP and adjusted basis.
 I'd like to highlight 2 of the unusual items that affected our results this quarter. The first, which had no net impact on our results, was a $4.3 million charge in other gains and losses that was fully offset by a benefit in our tax expense line. As part of our acquisition of ETF Securities, we held a portion of the proceeds in escrow to cover certain tax exposures. As the statute of limitations on those exposures expire, we release a portion of the escrow. Accounting rules require that we record the release as an expense and then as a reduction to tax expense. Again, it had no net effect on our results.
 The second item, we incurred a $1 million noncash charge associated with vesting of stock-based compensation awards. Our normalized tax rate in the quarter was 26.9%, and we continued to expect a 26% to 27% tax rate in future periods, consistent with our previous guidance.
 Turning to margins on the next slide. Our adjusted operating margin was 20% for the quarter, which was down slightly from the fourth quarter of last year due to lower revenues and higher seasonal payroll costs. Gross margins for our U.S. segment were 80.4%, up sequentially, reflecting seasonal items in the prior quarter. Gross margins for our international segment was 70.1%, up sequentially, reflecting the growth in average AUM.
 On the next slide, you can see the changes in our expenses. For the U.S. segment, operating expenses increased slightly as higher seasonal compensation costs were partly offset by lower use of consultants as well as spending and marketing in sales due to timing. Third-party distribution expenses were above the guidance of 3.5% of advisory fees due to onetime expenses for onboarding a distribution platform as well as for one of our overseas marketing arrangements.
 International segment expenses declined 4%, primarily due to timing of lower marketing and sales-related spending. We do expect marketing and sales spending to be picked back up in the second quarter.
 Now I'd like to give you an update on our expense outlook for the remainder of the year on Slide 7. First, what hasn't changed? We expect no change in our previous gross margin guidance. At current AUM levels and the current asset mix, we expect gross margins to remain in the 80% to 81% range and in the 70% to 72% range for our international segment. We expect our third-party distribution fees will be 3.5% of advisory fees in the U.S. on a quarterly basis in the near term, but there may be periodic spikes when we onboard new platforms. We also expect no changes in our prior guidance for compensation in both our U.S. and international segment. You can see if you annualize first quarter numbers, we are trending in the middle of the guidance range.
 So what has changed? We gave guidance that we expect discretionary spending to be flat with annualized second half 2018 expenses. As discussed in our second quarter earnings call last year, we identified $7 million in annual cost reductions, and we're working to identify additional savings. We are revising our guidance and expect an additional $3 million in savings, $2 million in the U.S. and $1 million in our international segment. So in the last 3 quarters, we have taken out approximately $10 million from our cost base. We will continue to look for efficiencies or other areas where we can reduce expenses that will not sacrifice revenue growth opportunities.
 Thank you, and now it's my pleasure to turn the call over to Jono. 
Jonathan Steinberg: Thank you, Amit, and good morning, everyone. I'll keep my comments brief this morning before taking your questions. I am encouraged by the recent growth we've generated. As you see on the right-hand side on the top chart on Slide 8, excluding the impact of DXJ and HEDJ, our recent organic growth has been mid- to high teens, roughly double the growth rate and at considerably better revenue capture than the overall ETF industry.
 And as seen in the dark blue bars on the chart, our organic growth all-in has steadily improved over the past 5 quarters, reaching 4% in Q1, probably best in class. Our more diversified product set and improved distribution platform has generated positive organic growth despite continued outflows from DXJ and HEDJ. While there will always be some volatility, the platform we have built should be capable of generating double-digit organic growth on a fairly consistent basis without excluding the impact of any of our funds.
 Our stronger recent growth and the bullish outlook we have can be directly tied to the initiatives we have undertaken over the past few years, focused on diversifying our AUM and positioning the firm to generate strong sustainable organic growth through a range of macro environments. Today, our AUM is the most diversified it has ever been.
 As you can see in the pie charts on the bottom of Slide 8, at similar total AUM levels, DXJ and HEDJ now represent just 12% of total AUM. We've built a platform that is truly balanced by product, asset class, client type and geographic region. We have transformed the way we reach clients and how we interact with them. We have expanded our distribution reach through platform relationships with the largest RIA custodians and the largest IBDs. Our differentiated solutions program allows us to have deeper conversations with advisors around the areas that they are looking for help, asset allocation, portfolio construction, retirement, behavioral finance and technology. The combination of our solutions program and wider distribution is already having an impact on our organic growth. Our goals remain to generate strong, diversified and profitable growth, which should translate into attractive returns for our shareholders. While macro conditions the past few years have been challenging for our prior largest exposures, we remain focused on what we can control, the execution of our strategy. We've truly transformed our platform over the past few years to increase position for the next wave of profitable growth.
 Thank you for your interest in WisdomTree, and we'll now take your questions. 
Operator: [Operator Instructions] Our first question or comment comes from the line of Craig Siegenthaler from Crédit Suisse. 
Craig Siegenthaler: I just wanted to start with the elephant in the room because many of us saw the press reports back in February with a potential merger between WisdomTree and a larger bank. And since this is the first sort of conference call since that, I'm just wondering what are your thoughts on the current operating environment and the ability to remain independent versus the benefits of a short-term sale. 
Jonathan Steinberg: So thanks for getting the elephant out of the room. So as we've already discussed, we have transformed our platform over the past few years into a truly global platform capable of scaling into multiples of our current AUM. And as I'd indicated in my prepared remarks, we believe that we have a platform and strategy that can drive at least double-digit organic growth, which would be a multiple or multiples faster of any of the other publicly traded traditional asset managers. So we really do believe in our strategy and our vision and ability to execute against that strategy, against the largest asset managers in the world. That -- and quite frankly, we do have built an irreplaceable platform. But that said, we fully understand our fiduciary duties and the need to generate shareholder value one way or the other. So we'll always do the right thing, but we are focused on our independent operating strategy. 
Craig Siegenthaler: And just my follow-up here. What are your -- I'm just trying to -- and I know this one is difficult to judge, but what is your view around the trough level of AUM for DXJ and HEDJ? I just want to see if there's any insight to when we can see these outflows dry out. 
Jonathan Steinberg: First, if you want, I'll start and maybe Jeremy Schwartz would like to participate also. But -- so first of all, what's incredible for both DXJ and HEDJ, our market share against the other largest players in this space, we've actually seen our market share tick up for both HEDJ, which is still sort of 67% market share. It peaked at about 73% in '16, but really the last couple of quarters, it's actually ticked up. And for DXJ, our market share is about 74%, topped at about 81%, but in the last couple of quarters, they've also ticked up. So the industry, both hedged and unhedged, particularly for Japan have been in outflow mode, but we still have the liquidity asset and thought leadership in these strategies. And we expect that at some point, they will come back into favor. 
Jeremy Schwartz: And so I would just say to supplement that, I mean, from 3 different points, we very much believe in the long-term merits of currency hedging. As Jono said, we are still the market leader and innovator, and we continue to innovate with a lot of excitement of our latest active executions. And finally, the macro conditions may be turning more favorable, just a little bit more on each point. Strategically, we still think most people get currency backwards. They hold contradictory view to what they're actually doing themselves. They say they don't want to take on a currency call, yet they default to being betting on the euro forever. So we still think people -- there's a big opportunity. We're on the right side of history there and should be more hedged than they are. But we continue to innovate. So we launched dynamically hedged options, DDWM, 3 years ago. It's half its anniversary, adding a 3-factor model on top of our unhedged. It's beaten 97% of its peers. The small caps, DDLS, has beaten 88% of its peers. So these track records should build and garner more interest, showing our thought leadership on Modern Alpha for international. But we've even expanded there through these active executions, international multifactor that adds a currency factor on top of our more active equities. So we do think we continue to build out that family with a lot of excitement. From the shorter-term macro side, we think -- as you think about why has there been unnatural amount of favor, there's a global growth slow down, China trade concerns. China is now ramping up their stimulus, and their economic initiatives are turning a little bit more positive. So if that trade deal comes together, that could be very supportive for global multinationals and DXJ and HEDJ. 
Jonathan Steinberg: Thank you, Jeremy. 
Operator: Our next question or comment come from the line of Dan Fannon from Jefferies. 
James Steele: This is actually James Steele filling in for Dan. So just on the updated capital efficiencies, I assume this is an ongoing review that you guys are doing on your discretionary spend. But just hoped you can maybe add some color to the $3 million. Where that's coming from? And if we might expect to see additional revisions to this guidance? 
Amit Muni: Sure. So I'd say the cost savings came mostly from our discretionary category. Now as we continue to look for efficiencies in our operations, leveraging technology, negotiating fees with our vendors, so this is an ongoing process that we always do. And I would expect as we continue over the next couple of quarters, we are looking for more. So hopefully, we'll be able to talk about some more of that over the coming quarters. 
Jonathan Steinberg: But we're trying to balance the cost efficiencies, but -- always with an eye towards maintaining our ability to invest in our growth initiatives. So it's a balance that we're always looking for. 
James Steele: Got it. And then just as my follow-up. It looks like there's some other industry news coming out of the ACCU with the Precidian structure. Just wanted to know if you had any thoughts on that. Or any other new structures that might potentially rival the ETF. 
Jonathan Steinberg: So this is Jono. I've been very vocal on my skepticism of the commercial viability of these nontransparent or semitransparent, but if you're not -- if you're semitransparent, you're not transparent, exposures should be very hard to commercialize themselves. They got it through, good for them. But not something that we're concerned with. 
Operator: Our next question or comment comes from the line of Chris Shutler from William Blair. 
Christopher Shutler: I just want to follow up real quick on that last point. Jono, I know you're not worried about it as -- for passive products. But I guess, thinking about it from a broader industry standpoint, do you think that those new wrappers have an opportunity to take share from actually managed mutual funds? Is that -- do you think that could happen? 
Jonathan Steinberg: So we are extraordinarily excited about is fully transparent to active. So Jeremy was talking earlier about our multifactor suite for international and emerging markets, using a dynamic currency hedge as one of our factors. We think that's the future of active, fully transparent. And then most -- even what we called Modern Alpha, which includes what some people would call smart beta, the absolute after-fee returns are off the charts relative to the active mutual fund. So again, we think this is where the push for Alpha should be focused on from an investor standpoint. So we're -- I would not say -- what you're saying or what they're hoping for, I think is a lesser execution that exists in the market today. 
Jeremy Schwartz: If I can add. If you think about the spectrum, there's -- on one hand of the spectrum, you have pure beta. On the other hand, these active -- high-active share portfolios. And WisdomTree is watching '06 and '07, where if you think about our original dividends and earnings-related, fundamentally related processes, our core earnings family, which we rebranded this quarter, has a -- let's say, our large cap has a 25% active share, a 2% tractive error. It's closer to beta with an improvement on it, so it's a beta-like experience. Our latest multifactors are 85% active share, really going after the active manager and getting more active in that execution. And so we do think fully transparent active will have a big place for us, and we're going right after it. 
Christopher Shutler: Okay. And then my follow-up is actually on USFR, the big spike up inflows that we've seen there in the last couple of quarters, good to see. Any way to get a sense how much of that activity is kind of sustainable versus more temporary in nature? We've, obviously, seeing a big increase in money market and bond fund usage in recent quarters as investors are sorting their cash. So any sense how much of that is sustainable? 
Jeremy Schwartz: So first on the security itself. I mean, it's really exciting for us as a catalyst. We are the market leader in this space. And floating rate treasuries are becoming -- growing in importance for the treasury issuance. We know there's big tax and deficits of trillion dollars of financing needs, and the floating rate note is coming inside at almost an equal amount to TIPS securities. So when you think about -- TIPS is actually an interesting example where you have $40 billion in total ETF size. Their largest ETF is $20 billion in size. Today, we have 80% market share in USFR for that security. There's only 2 ETFs that have exposure to that security. And so we think last year was a great tax flow environment, but it has a true long-term core anchor of short-term bond portfolios. There's about $1 trillion in mutual funds in that -- in where it's competing. So we think there is a long-term strategic rationale that we can go after. 
Kurt MacAlpine: And this is Kurt MacAlpine here as well. And just from a distribution standpoint, the distribution has been very broad and very diverse. So it spans virtually all of our client segments across all of our markets. So it's a very diversified underlying client base that's purchasing the strategy. In addition, based upon the demand that we've seen from our U.S. structure, we actually recently launched the strategy and used its format a few weeks ago as well. So we expect demand for that to continue to scale up as well. 
Operator: Our next question or comment comes from the line of Michael Cyprys from Morgan Stanley. 
Michael Cyprys: Just hoping to get a little bit of an update on some of the distribution initiatives. I know you expanded some partnerships in the quarter. Just curious if you can talk about some of those recent initiatives. And how are you thinking about new and innovative approaches to distribution as we look forward from here? 
Kurt MacAlpine: Great. So it's Kurt MacAlpine here again. Why don't I take a moment to remind you of some of the changes that we've made to our distribution strategy over the course of the past couple of years, and then we can talk about some new partnerships that we've announced and also some new things in the pipeline. So if you think about the transformational changes we've made, there's really 4 different components to it. So the first is the foundational element around building an industry-leading data intelligence function, which we've talked about in the past that includes predictive analytics and things like IBM Watson to really help us identify and prioritize the client opportunities across both our distribution business but also marketing as well. The second piece to that process is striking these strategic partnerships, which is the heart of your question, and we've done more of those over the past couple of years than any asset manager in the industry. And the objective, and what this has allowed us to do is to make it easier than ever for clients to do business with WisdomTree than what they've ever been able to do in the past. The third piece then is to build this award-winning Advisor Solutions program, which just allows us to go deeper with the individual advisors, the RAs and the independent firms, than what we were able to do historically because we now have more things to talk to them about in addition to individual product strategies. And then lastly, we've changed our client coverage model and fully integrated our distribution and marketing teams into one integrated sales process. So those are from a strategic perspective, kind of the elements that we've put in place and a number of the changes that we've made. Specifically on the partnership front, we continue to have a robust pipeline, I would say. The most exciting announcement that came in the first quarter was the expansion of our relationship with Schwab. So we increased the number of funds that we have available commission-free on the Schwab platform from 21 at the end of February to 65 at the beginning of March. So it's really a transformational change for us in our relationship with Charles Schwab. And early flows that we have seen and received from them have been very positive to date. So I think as you look forward on the strategic front, what you'll see from us is we have a great pipeline of partnerships in the queue, and we will likely be announcing some of those in the coming quarters. 
Michael Cyprys: Great. Appreciate the color. And just as a follow-up, maybe you can just give us a little bit of an update on AdvisorEngine, how that's shaping up in terms of the pipeline there? And just any sort of expectations as we look forward from here in terms of growth and contribution from AdvisorEngine. 
Kurt MacAlpine: Sure. So it's Kurt here again. In terms of the AdvisorEngine-WisdomTree relationship, couldn't be stronger. We continue to work together in a very collaborative manner going to market jointly, selling both the platform and the features that AdvisorEngine has, in addition to our individual strategies, and ultimately, our model portfolios. Earlier this week, you might have seen a press release where we won a very important strategic mandate with a firm called IFP, where AdvisorEngine is going to be the underlying digital wealth platform, and WisdomTree is going to be providing the Model Portfolio strategies. So I think that's a great case example of something that we just won in a very competitive process that positions both AdvisorEngine to be the core platform and WisdomTree to be the core provider of intellectual property model portfolios and underlying strategies. So looking forward, the plan is to continue down that path. We do have a great pipeline together, and we'll continue to work on executing them. 
Operator: Our next question or comment comes from the line of Michael Carrier from Bank of America. 
Sean Colman: This is actually Sean Colman on for Mike. So it's clear you guys are focused on efficiencies. But can you just scout some of the areas where you guys continue to invest? And are you confident that you're investing enough for future growth? 
Jonathan Steinberg: So this is Jono. Where we invest is in -- and again, it's perfect the way you phrased it because -- so efficiencies. So we've closed some funds, we're launching funds. We are investing in our people, we're investing in our partnerships. I mean it's the area -- I mean ours is a relatively simple business model. So that's -- we're just focused on the areas that we've been focusing on for the last number of years. It's the same thing. Now because much of the spend is behind us, I mean, because we've been spending since 2006 consistently, we're farther along than almost most firms. I mean others have said things about -- the prior question like the AdvisorEngine. If you haven't started this type of program, you are probably 3 or 4 years behind WisdomTree now in some of this execution. So these are the areas that we're putting our time and energy and dollars against. 
Sean Colman: Okay. And then just given the level of competition in the industry for management fees and distribution, how do you guys think about the outlook for net organic revenue growth, particularly ex DXJ and HEDJ? 
Jonathan Steinberg: So again Jono. We feel very strongly about our pricing strategy and our ability to deliver strong after-fee returns. I think pricing, in general, is trending down, and we should continue to be generating superior fee capture relative to others. Now some of this is just market sentiment-related. So if emerging markets come back, it'll be in a bigger way or alternatives, they'll be at the higher end of these. If it's certain of our domestic fixed income, it might be at lower ends. So some of our more proprietary domestic fixed income will be sort of in line with our average fee capture today. It's just -- it's all variable. Each new vintage of fund is priced competitively with where the market is today. And then you have longer, more differentiated products that should again continue to generate superior fee captures. So I feel very good about what we have done in the past and where we stand today. 
Operator: Our next question or comment comes from the line of Bill Katz from Citi. Mr. Katz, you may need to unmute your phone. 
Jonathan Steinberg: Well, that was an easy one. 
Operator: Okay. We'll go on to the next one. Our next question or comment is Alex Blostein from Goldman Sachs. 
Ryan Bailey: This is Ryan on behalf of Alex. Actually maybe kind of just balancing off the question before Bill's. In terms of the strong fixed income flows you've been having over the last couple of quarters, can you help us think about when that AUM bucket is going to kind of reach scale? And how we should think about the puts and takes for the margin there? 
Jonathan Steinberg: Could you just repeat the last part of that sentence? The puts -- I missed the last part. 
Ryan Bailey: Sure. I guess what I'm trying to get at is, as we think about the flows there, how that'll impact the incremental margin for the firm? 
Jonathan Steinberg: Go on. 
Amit Muni: So obviously, the fixed income products are lower fees, and so the revenue capture is lower. So the margin profile is different on those types of products. But I would say a couple of things. So first, we are -- we now are -- have the ability to compete and gather flows in asset class and products that we didn't have products before. So we're able to gather flows. I mean I think as you can see that we believe that these are very either core allocations that are -- that can be large and very sticky. The second thing I would say is that, look, the operating leverage in the business is there. We have operating leverage in compensation. We have operating leverage in our fund costs, and as you've seen, in the discretionary spending. So while the revenue margin profile will be a little bit less, there is upside on the expense side of the business to gain operating leverage there. 
Ryan Bailey: Got it. And then maybe one on the commission-free platforms. So the additional funds at Schwab definitely a win for you guys. I'm just wondering, we've seen other ETF providers have their ETFs added to some commission-free platforms. Does that dilute the impact of your funds being added to those platforms at all? Or is it enough demand that, that kind of is an offset and it should be beneficial to everyone? 
Kurt MacAlpine: So it's Kurt here. So I would say, you're seeing -- I think the first part of your statement is you're absolutely seeing a lot of activity and energy that platforms are putting behind offering commission-free access to ETFs, giving ETFs more prominent placement on platforms than what they've seen historically. So I would say, as platforms continue to open up the ETF opportunity and depending on the platform they may not have been opened up before, that creates opportunities for ETF sponsors to increase their shelf space in market share. This is an initiative we started earlier than most of our competitors, and we're really pushing on it as much as 3, 4 years ago. And I think we're starting to see the benefits of being kind of in front of this as opposed to on the back end of it. So if you look across the relationships that we have, we have preferred relationship with TD Ameritrade with the vast majority of our strategies available. We now have that exact same relationship with Schwab. We have an emerging relationship with Pershing where we have and are adding more of our strategies to that commission-free platform, and you really see us as kind of the first and only firm to date in the -- working across the IBD platforms offering commission-free strategies as well. So I would say, as the platforms continue to open up, we've demonstrated that we can be a good partner. It's certainly been additive to our business and very additive to the platforms themselves. So I think it's -- as firms continue to -- platforms continue to expand in the space, it's only going to benefit WisdomTree. 
Jonathan Steinberg: I mean this is Jono. You are talking about it from the perspective of benefit. So one of the elements that -- so there's a cost to being on the platforms. And -- but as they add competition, other exposures that could reduce expenses or as they cut their own commissions so that the -- what they're offering could also lower the expense ratio. So it's an interesting dynamic. It's not a one-way direction on the expenses. And we're always trying to balance that cost analysis, and obviously, we really do strive for as much exclusivity as possible. But on a platform this size, Schwab, I mean, it's just net-net a great positive. 
Operator: Our next question or comment comes from the line of Brennan Hawken from UBS. 
Brennan Hawken: On the third-party distribution fees, you guys flagged that there were some onetime components to this quarter. Could you maybe help us understand how much of the $2.4 million was onetime in nature so that we can get a sense for how the ongoing piece of that is running? 
Amit Muni: Sure. Yes. So I said the majority of the increase was sort of onetime fees that we have for onboarding on to the platform. But we think on a go-forward basis, it still will be 3.5% of the advisory fees. You may get a spike every once in a while as we onboard new platforms, but I think on a steady state, you should see, on a quarterly basis, about 3.5%. 
Brennan Hawken: Okay. And as my follow-up, you guys haven't really flagged onetime fees when onboarding a platform before. So were these expenses that previously were borne? And can you maybe help us understand what is really involved in these onetime fees and how -- like how we should think about them? 
Kurt MacAlpine: So it's Kurt here. So if you think about the onboarding fees, it's every platform relationships that we enter into is different. Some platforms and not all do charge a onetime onboarding fee from taking a fund in the commissionable form add and making it accessible commission-free across that platform. So what you see here as an increase in spike was a number of our funds going from noncommission-free but available on a platform to that firm changing the infrastructure firms to make them available commission-free. So that's really what you're paying for. So it's the point in time at which a single strategy either enters the platform or moves from commissionable to commission-free. But once again, it depends on the nature and type of the platform relationship. So some have it and some don't. 
Operator: I'm showing no additional questions in the queue at this time. I'd like to turn the conference back over to management for any closing remarks. 
Jonathan Steinberg: I just want to thank you all for your time and interest, and we'll speak to you next quarter. Have a good day. 
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.